Jon Perachio - VP, IR:
John Sabino - CEO:
John Collins - CFO and COO:
Ryan McDonald - Needham & Company:
Mike Latimore - Northland Capital Markets:
Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to LivePerson's First Quarter 2025 Earnings Conference Call. My name is Jamie, and I will be your conference operator today. At this time, all participants are in a listen-only mode. After the prepared remarks, the management team from LivePerson will conduct a question and answer session, and the conference participants will be given instructions at that time. To give everyone the opportunity to participate, please limit yourselves to one question and one follow-up. As a reminder, today's conference call is being recorded. At this time, I'd like to turn the floor over to Mr. Jon Perachio, Vice President, Investor Relations.
Jon Perachio: Thank you, Jamie. Joining me on today's call is John Sabino, CEO, and John Collins, CFO and COO. Please note that during today's call, we'll make forward-looking statements, which are predictions, projections, and other statements about future results. These statements are based on our current expectations and assumptions as of today, May 7th, 2025, and are subject to risks and uncertainties. Actual results may differ materially due to various factors, including those described in today's earnings press release and the comments made during the conference call, as well as in any 10-Ks, 10-Qs, and other reports we file with the SEC. We assume no obligation to outdate any forward-looking statements. Also during this call, we'll discuss certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP is included in today's earnings press release. Both the press release and the supplemental slides, which include highlights for the quarter, are available on the Investor Relations section of LivePerson's website, ir.liveperson.com. With that, I'll turn the call over to LivePerson CEO, John Sabino.
John Sabino: Thank you so much, John. Thank you all for joining us today. Let me begin by highlighting what sets LivePerson apart in today's rapidly evolving market. LivePerson has a proven track record of partnering with enterprise brands across both regulated industries, such as financial services, healthcare, telecommunications, and non-regulated industries, including retail, travel, and hospitality. As organizations accelerate their digital and AI transformations, they rely on LivePerson as a trusted partner to help guide them through their journey forward. Our strength lies in combining deep first-party expertise with a broad ecosystem of trusted partners to deliver a unified AI-powered platform for voice and digital engagement. The LivePerson platform brings together live agents, intelligent automation, and advanced analytics seamlessly orchestrated across all channels and third-party systems. The result is consistent, contextual customer experiences that drive real business outcomes. Our value is clear to enterprises weighed down by legacy CX infrastructure, like outdated chat systems, on-prem technology, and early generation CX platforms. LivePerson provides the flexibility to adopt AI and digital capabilities within a single platform without the need for a costly rip and replace. We call this innovation without disruption. This strategy positions LivePerson as the partner of choice for enterprises addressing today's customer and workforce experience challenges. Whether they're out front with AI looking to scale their advantage or stuck behind legacy tech and internal blockers, we meet them where they are and help them move forward. By addressing the full spectrum of enterprise needs with speed, flexibility, and focus on outcomes, we are well positioned to lead in the rapidly evolving market. Before we dive deeper into our product and go-to-market updates, let me briefly discuss our high-level results for the first quarter. Revenue in the first quarter of $64.7 million was above the midpoint of our guidance range, and adjusted EBITDA of $0.2 million was above the high end of our guidance range. John Collins will provide more detail about our financials, but I want to underscore that we are continuing to deliver on our financial commitments and executing on our turnaround. Now let me move to our product update. We structure our product strategy around three core dimensions, each essential to delivering greater value for our customers and reinforcing LivePerson's position as a market leader in enterprise digital engagement and conversational AI. These dimensions are differentiation, high-value innovation, and foundational capabilities. Our differentiation comes from a focus on agentic orchestration with leadership in advanced AI tooling and unified analytics and generative insights. A great example of this is a health insurance provider that wanted to improve the accuracy of their inquiry routing while reducing maintenance labor. By implementing our AI agent capabilities, they boosted intent match rates from 70% to 90% in just two weeks and cut human agent conversation times by 30%. The results were more efficient operations, enhanced customer experiences, and substantial cost savings. Our platform integrates generative AI with customer data, business logic, and third-party agentic bots and tools to power personalized, context-aware interactions at scale. This keeps LivePerson at the center of the customer experience, orchestrating engagements even as the ecosystem around us continues to shift. It's our core driver of differentiation and competitive advantage, establishing LivePerson as a system of action and intelligence for enterprises. This is not just about automation. It's about delivering real-time, goal-driven experiences that span digital channels, voice, and back-end systems. Much of this is what we're doing now, and our roadmap is designed to accelerate it, keeping pace with new technologies and evolution of foundational models. Second, we're delivering on our high-value-add capabilities that extend our leadership in generative AI. This includes our AI builder and AI blueprints, next-gen tools for building and managing and analyzing AI-driven conversations, along with core generative AI agents for key use cases like FAQs, data collection, and routing. We'll also continue to expand our industry-leading offerings with unified analytics for real-time AI-powered insights and AI assistance and agent co-pilots that significantly improve agent productivity. These are capabilities that are already driving measurable impact. In Q1, we saw a 14% increase in the number of customers using our generative AI tools and a 25% sequential increase in conversations powered by generative AI. These are not abstract metrics. They represent real value delivered to real customers. For example, a UK-based telecom company and a leading solar company are now using generative AI in 80% and 90%, respectively, of their customer conversations. In addition, a global luxury fashion company and one of the world's largest banks renewed and expanded their partnership with us, citing our leadership in generative AI and enterprise-grade guardrails. The final dimension of our product strategy is about maintaining our foundations with evolving consumer expectations. We continue to deliver the essential contact center and communication capabilities our customers depend on. This foundation is critical to running day-to-day operations and delivering a consistent, reliable customer experience. It includes a broad range of connectivity across digital, social, voice, and email channels. We also offer standardized APIs and SDKs that make integration easier for enterprises, partners, and developers. For example, our previously discussed integration with Avaya allows brands to unify digital and voice experiences without disrupting existing IT environments. This quarter, we're launching the same integration with Amazon Connect and building new connectors that make it easy to bring virtually any voice system into our AI environment. We're also preparing to launch and innovate an email solution, recognizing the continued importance of this channel and positioning ourselves ahead of the AI revolution within it. In addition, we've partnered with a leading global bank to reimagine in-app mobile experiences using our SDK, and it's already powering millions of customer interactions every day. These are just a few examples of how our foundational innovations continue to drive strategic value for our enterprise customers. Executing on our product strategy and evolving it over time will ensure that we continue to support enterprises at scale with AI-powered orchestration across all touch points. It will help accelerate adoption of our product and strengthen our partnerships with our enterprise customers. I am confident that this strategy closely aligned with our customers' priorities will position LivePerson as a partner of choice for brands seeking to innovate and lead in an AI-driven customer engagement, driving meaningful growth in both new business and retention for LivePerson. Next, let's discuss our go-to-market. Partnerships continue to be part of our go-to-market strategy. We're seeing growing momentum driven by our flexible architecture, LLM agnostic approach, and strong track record of successful implementations. As previously discussed, we are excited to launch our Amazon Connect integration in the second quarter, and we're already seeing early customer interest. We're also on track to hit our goal of 35% partner attached for the year, which reflects the growing strength of our partner ecosystem. Ultimately, these partnerships will allow us to reach more customers, accelerate innovation, and deliver greater value at scale. Regarding pricing, we continue to see momentum in our simplified customer-centric bronze, silver, and gold packaging and pricing strategy. IBM recognized the value in our gold package, which gives them access to our full generative AI suite and the flexibility to bring IBM Watson X technology into our platform. The combination led to successful renewal and an expanded partnership. We're continuing to actively explore refinements to our pricing and packaging to deliver greater value to our enterprise customers. A key area of focus is creating incentives for brands and partners to bring their third-party bots to our platform. Today, this represents approximately 20% of total bot usage, and by aligning pricing closer to the investments customers are already making in their own tech stacks, we can help them unlock the full potential of our analytics and agentic orchestration capabilities while also driving meaningful cost savings. Finally, let me touch on bookings for the quarter. While retention continues to improve and exceed our expectations in the quarter, several large deals initially expected to close in Q1 are now expected to close in Q2. The shift was primarily driven by extended enterprise buying cycles. However, we're already seeing positive momentum on these deals in the second quarter, along with a strong growing pipeline. We remain confident in our expectation for positive net new AAR in the second half of this year. In closing, we delivered on our Q1 financial guidance and remain on track to achieve our full year targets. As expected, we faced headwinds in Q1 related to the prior renewal cycle, but we're now seeing more favorable renewable trends and expect that to continue. In addition, we're seeing new pipeline momentum building through our partner ecosystem and our direct sales efforts. Our priorities remain unchanged and consistent with what we outlined in our Q4 call. First, driving commercial performance through growth and bookings and improved retention. Second, maintaining disciplined cost control while strengthening our capital structure. And third, accelerating innovation across our product. I remain confident in our trajectory and I firmly believe in the future performance of the company. Now let me hand the call over to John Collins, our COO and CFO. John?
John Collins: Thanks, John. I'll begin with a brief update on customer wins, followed by discussion of our financial performance and guidance. In terms of deals and significant customer wins, we signed a total of 50 deals in the first quarter, including five new logos and 45 expansions and renewals, translating to a quarter-over-quarter increase of 25%. As John alluded to, we observed extended enterprise buying cycles in the first quarter that caused several large deals to shift into the second quarter. While macroeconomic factors likely played a role, the extent of which is unclear to us at this time, we also observed that increasing demand for AI added new approval gates for risk and compliance. We view the latter as a positive development for LivePerson, considering our focus on AI guardrails and track record in highly regulated industries. More importantly, we believe this increasing demand reflects the demonstrable return on investment from our platform, which is driving expansion in deal sizes as we progress through the sales cycle. Broadly, the first quarter, we observed a continuation of commercial themes from recent quarters. Again, increasing demand for AI agents and AI orchestration, continuing traction within highly regulated industries, including healthcare, financial services, and telecommunications, which collectively represented 70% of bookings in the first quarter, and building momentum with partners who leverage us as a trusted AI agnostic orchestration platform for the enterprise. Consistent with these themes, significant renewals and expansions included one of the world's largest banks, a global financial technology platform, two of the largest telecommunications companies in Asia Pacific, one of the world's largest health insurance providers, and as John said, IBM. I'll emphasize that all of these deals leverage our suite of generative AI capabilities. Significant new logo wins included one of Canada's largest retailers and a digital entertainment company focused on use cases. As for our first quarter financial results, total revenue was $64.7 million, or just above the midpoint of our guidance range. The improvement above the midpoint was primarily driven by slightly better than expected retention in the quarter. Despite the sequential revenue stepdown, adjusted EBITDA for the first quarter was just positive at $0.2 million and above the high end of our guidance range, driven primarily by continued optimization of our cost structure. Revenue from hosted services was $55.1 million, down 23% year-over-year. Recurring revenue was $60.4 million, or 93% of total revenue, and down 22% year-over-year. Further segmenting revenue, professional services revenue was $9.6 million, down 30% year-over-year. From a geographic perspective, U.S. revenue was $40 million and international revenue was $24.7 million, or 62% and 38% of total revenue, respectively. Average revenue per customer was $640,000, up 2% year-over-year, driven in part by expansions with our largest customers and in part by customer retention. RPO declined to $221 million, consistent with the same factors driving declines in revenue. Net revenue retention was 80% in the first quarter, down from 82% in the fourth quarter. As a reminder, net revenue retention is a function of in-period revenue, so this metric will generally continue to decline until revenue begins to grow again, which we expect by the end of the year. By contrast, we expect renewal rates, measured in terms of ARR, to improve in the second quarter and beyond. Finally, in terms of cash, we ended the first quarter with $176 million of cash on balance sheet, inclusive of the proceeds from the transaction with Lynrock Lake last year. Turning to full-year revenue guidance. We are reaffirming our guidance range of $240 million to $255 million, approximately 93% of which we expect to be recurring. As previously discussed, we continue to expect sequential declines in revenue through most of the year before reaching an inflection point by the end of the year. In terms of net new ARR, we continue to expect this leading indicator of future growth to turn positive in the second half of the year. For the second quarter, we expect revenue to range from $57 million to $60 million, representing a sequential decline of approximately $6 million at the midpoint. Consistent with expectations we previously set on our fourth quarter call, the quarter-per-quarter decline is primarily driven by first-quarter attrition events that were anticipated and tied to the prior renewal cycle. Finally, and consistent with the full-year revenue mix, we expect recurring revenue to make up approximately 93% of total revenue in the second quarter. In terms of adjusted EBITDA, we are reaffirming our full-year guidance range of a loss of $14 million to break even. As previously discussed on our fourth quarter call, we do not expect positive free cash flow in 2025, though we continue to improve the cost structure while preserving the investments necessary for a return to growth. Finally, we expect adjusted EBITDA in the second quarter to range from a loss of $4 million to a loss of $2 million. Before moving to questions, I'll briefly summarize a few key points. We continue to see increasing demand for AI agents and orchestration, including expanding deal sizes as we progress through the sales cycle, which we believe reflects the demonstrable return on investment from our platform. While this AI demand has added new approval gates for risk and compliance, which shifted some deals into the second quarter, we believe this development is positive for LivePerson, considering our track record as a trusted partner in regulated industries and our focus on AI guardrails for the enterprise. Despite this shift in timing, we continue to expect positive net new ARR in the second half of the year, driven by sequentially increasing renewal rates, expansions, and new logos. And with that, operator, we can move to Q&A.
Operator: Ladies and gentlemen, at this time, we'll begin the question-and-answer session. [Operator Instructions] Our first question today comes from Ryan McDonald from Needham & Company. Please go ahead with your question.
Ryan McDonald: Thanks for taking my questions. Maybe first on the sales cycle elongation from some of the deals slipping from Q1 to Q2. Obviously, it sounds like just adding AI in is adding more complexity, more approvals, completely understandable there. But I guess, can you talk about the progress you're seeing maybe on those slipped Q1 deals in Q2 thus far? And any signs of, let's call it, the uncertain macro environment starting to play a role that could lead to potentially additional deal slippage into the back half of the year? Thanks.
John Collins: I'll start here, John. Broadly, we think that the macro environment certainly is playing a role generally in the elongation of sales cycles. However, the extent to which that's impacting us in the first quarter is not clear at this time. As for progress on these deals in the second quarter, we are on track broadly to close them within the quarter. They did not shift out ambiguously into the future, but we have specific closed plans tied to the second quarter for these deals. And as we shared in the prepared remarks, these deals have actually also expanded in size in the second quarter relative to the first.
John Sabino: Right. Just to build on that and highlight that, that's the key point here that the macro situation is uncertain for many companies, and I'm sure it's playing to some degree in the decision cycle with customers. But what we're not seeing right now is deals shrinking or customers backing away. As John has explained, they're looking for more enhanced capabilities around AI, bringing additional approval gates, which we do not necessarily see as a challenge. We're very used to operating in that environment, and most of these deals have actually gotten larger in size.
Ryan McDonald: That's great to hear. Maybe as a follow-up, I wanted to ask about the impending launch here of the integration with Amazon Connect in the second quarter. Obviously, Amazon has had some really impressive market share gains. I think there might be number two worldwide now in CCAS. Can you just talk about the level of enthusiasm you have for the launch of that? Maybe dive a little deeper on some of the early interests you're seeing, and how material and instrumental do you think this new partnership can be for your go-to-market motion and the return to growth strategy here? Thanks.
John Collins: John, I'll start with this one. We do see early interest in this integration. I think it lines up primarily with what we outlined as a point of differentiation for us. It allows customers to engage in their tech stack and not have to do significant rip and replace and still get all the capabilities that we bring. We see this as a net-net positive, and we do believe it can have a larger positive impact with both our partner network and customer base as we start to show the advantages of working with us in conjunction with Amazon Connect. So, with the gains that they've had in the market, it has not been a point of contention or competition, per se, with us. It's actually increasing the number of customers and SIs that we can work with in the future as potential customers. It's very similar to the Abaya strategy that we have. Lastly, the strategy of the company when it comes to voice and other capabilities, again, is to work with as many platforms as possible so that customers can move forward without lengthy, large technical projects that have a lot of risk. And that's we're finding customers see value in. So, we do have -- we have some pretty decent-sized customers that are interested. We have partners that are excited about it because I think it's going to give them an opportunity to talk to customers about new projects and digital transformation. We see this as a net positive that aligns very tightly with our current strategy.
Ryan McDonald: Thanks for the call. I'll hop back into the queue. Thank you.
Operator: [Operator Instructions] Our next question comes from Mike Latimore from Northland Capital Markets. Please go ahead with your question.
Mike Latimore: All right. Great. Thanks. I think you said you expected the renewal rate to improve in the second quarter. Can you just talk a little bit about the trend in the renewal rate over the last few quarters, and will this be a sort of material change relative to the trend that you've had previously?
John Collins: I'll start here, John, just from a numbers perspective. In terms of trends, Mike, the second quarter reflects a significant improvement relative to the past several quarters. We're approaching, once again, in our forecast, industry norms for renewal rates in Q2 and beyond. Not best in class yet, but industry norms. So, that's a significant improvement from, again, the last three to four quarters on an average basis.
John Sabino: And then, J.C., I'll add to that. You've heard me reference renewal cycles. In other words, contracts and average deal length. We are now just moving through that. So, Q1 is what we believe the last real remaining quarter of what we saw from over a year and a half ago, 18 months ago. So, we're now starting to move through that, and we feel confident that the renewal rates that we're seeing moving forward from now are a result of the changes that we've made in our customer success motion, the effort by Kevin Meeks to really help focus the customer on adoption, and ultimately driving more value use cases and consumption with our customers. So, Q2 should start to reflect those efforts that we've been working on over the past three to four quarters.
Mike Latimore: Great, great. Super. And then, as you just think about the pipeline, I guess even bookings activity, is there a noticeable difference in kind of U.S. versus international patterns here?
John Sabino: Do you want to take that?
John Collins: Sure. Mike, at this time, I would say not a noticeable difference that we're observing, but that's also a function of the significant changes we've made to our commercial motion, including changes overseas. And so, while our APAC region has continued strongly throughout 2024, and the forecast is similar for 2025, in EMEA, we've been in a bit of a rebuild, and the positive changes that we've made should take effect going forward. So, the observations we have to say that there are significant differences are not really in the system yet. So, I would say, again, not significant differences at this moment in time.
John Sabino: Very specifically, it's not regionally-based improvement, it's improvement across the board. And, again, I think this is some of the focus that we've put in terms of how we've deployed our sales teams, our comp structure, how we've aligned our pricing and packaging to make it easier for customers to actually assess and look at our product and see value. So, the improvement in the pipeline is decent significant over last year, I should say, and it does position us for success in meeting our commitments for this year.
Mike Latimore: And I guess just to follow up on that comment you just made, so, any quantification of the improvement in the pipeline?
John Sabino: I don't think – we do not typically report on the pipeline. I'll just let you know that it's improved over last year, and we're happy with where it's at.
John Collins: And, Mike, what I would say is just quarterly, we've been improving total pipe that we're entering the quarter with, and that we're generally building throughout the quarter. So, if we look at this on a trended basis, it would be safe for you to assume that we're broadly building more pipe each quarter of 2025 than we did in 2024.
John Sabino: Yeah. Healthy and improving. That's probably the best way to think about it.
Mike Latimore: All right. Great. Thanks very much.
Operator: And, ladies and gentlemen, with that, we'll be concluding today's question-and-answer session, as well as today's conference call. We do thank you for joining us. You may now disconnect your lines.